Operator: Good afternoon, and welcome to the Fluor Corporation's First Quarter Earnings Conference Call. Today's conference is being recorded. [Operator Instructions] A replay of today's conference call will be available at approximately 8:30 p.m. Eastern Time today, accessible on Fluor's website at www.fluor.com. The web replay will be available for 30 days. A telephone replay will also be available through 8:30 p.m. Eastern Time on May 7 at the following telephone number: (888) 203-1112. The passcode of 9590125 will be required. At this time, for opening remarks, I would like to turn the call over to Ken Lockwood, Vice President of Investor Relations. Please go ahead, Mr. Lockwood.
Kenneth H. Lockwood: Thanks very much, operator, and welcome, everyone, to Fluor's First Quarter 2014 Conference Call. With us today are David Seaton, Fluor's Chairman and Chief Executive Officer; and Biggs Porter, Fluor's Chief Financial Officer. Our earnings announcement was released this afternoon after the market closed, and we have posted a slide presentation on our website, which we will reference while making our prepared remarks. Before getting started, I'd like to refer you to our Safe Harbor note regarding forward-looking statements, which we've summarized on Slide 2. During today's call and slide presentation, we will be making forward-looking statements which reflect our current analysis of existing trends and information. There is an inherent risk that actual results and experience could differ materially. You can find a discussion of our risk factors, which could potentially contribute to such differences, in the company's Form 10-Q, which was also filed earlier today. During today's call, we may discuss certain non-GAAP financial measures, and reconciliations of these amounts with the comparable GAAP measures are reflected in our earnings release and are also posted in the Investor Relations section of our website at investor.fluor.com. With that, I'd like to turn the call over to David Seaton, Fluor's Chairman and CEO. Please go ahead, David.
David T. Seaton: Thanks, Ken. Good afternoon, and thanks for joining us. On today's call, we'll review our results for the first quarter and discuss our outlook for the remainder of 2014. If you'll turn to Slide 3, I want to start by covering some of the highlights from our first quarter. Net earnings attributable to Fluor for the quarter were $149 million or $0.92 per diluted share, which compares with $166 million or $1.02 per share, the diluted share a year ago. This is consistent with our expectations and previous guidance for lower earnings in the early part of the year, followed by a ramp-up in the second half of '14 and into 2015. Consolidated segment profit for the quarter was $268 million, which compares to $294 million in the first quarter of 2013. Segment profit results were driven by a 32% increase in Oil & Gas profit, offset by lower contributions from the company's other segments, which as we have discussed, are experiencing varying degrees of market challenges. Consolidated revenue for the quarter was lower than expected at $5.4 billion, down from $7.2 billion a year ago, again, mainly due to significantly lower revenues in the Mining & Metals business line. We are very pleased with our new awards for the quarter, which were a record $10.7 billion. New awards were primarily driven by Oil & Gas orders of $8.8 billion, while Industrial & Infrastructure booked $924 million, and our Government Group booked $748 million. Consolidated backlog at the quarter end rose to $40.2 billion, up $5.3 billion over last quarter and up from $37.5 billion a year ago. Our financial results are summarized on the next slide in the table, and I'll continue my remarks on Slide 5. In the first quarter, the Oil & Gas segment booked, as I said, the new award number of $8.8 billion, which included a portion of the engineering procurement and construction on an LNG project in Canada; as well as a major clean fuels refinery program in Kuwait; a refinery expansion in Canada; a pipeline project in Mexico; and a chemicals project in Malaysia. Ending backlog for the Oil & Gas segment rose 38% from a year ago and now sits at $25.7 billion, the fifth sequential quarterly increase. Turning to Slide 6, the Industrial & Infrastructure new awards were just under $1 billion, including additional scope on a copper project in Peru and an iron ore facility in Australia. Backlog at the end of the quarter was $9.9 billion, down from $16 billion a year ago. This decline was driven by the Mining & Metals business line, which was impacted by lower awards and a project cancellation in 2013. In infrastructure, opportunities continue to evolve, and we are tracking a number of road and rail projects that are expected to be awarded later this year. If you turn to Slide 7, the Government Group posted new awards for the quarter of $748 million, including a 5-year contract to maintain United States Strategic Petroleum Reserve with the Department of Energy. This is a great win for the group as they focus on expanding their service businesses. Ending backlog was up -- excuse me, was $2.6 billion, up from $2.4 billion last quarter. I'm also pleased to report that last month, we were informed that the Nuclear Decommissioning Authority in the United Kingdom selected the Cavendish Fluor partnership as the preferred bidder on Magnox for the decommissioning of 12 nuclear sites. This project will leverage our considerable experience in nuclear remediation. In the Power segment, new awards were $166 million, and ending backlog was $1.9 billion, comparable with the $1.9 billion a year ago. Although the market is very competitive, we're bidding a number of gas-fired power generation facilities and expect awards over the next few quarters. Although book and burn from these projects would be light in the current year, the number of opportunities is important to our prospects for growth in Power in 2015. In other Power-related news, I want to provide a brief update on NuScale. As you know, the DOE selected NuScale for the second round of FOA funding. We're in the process of working towards financial close with the DOE, which will be a key step in attracting potential investors, manufacturers and other supply chain partners. With that, I'll now turn the call over to Biggs to review some of the details of our operating performance and the corporate financial metrics for the quarter. Biggs?
Biggs C. Porter: Thanks, David, and good afternoon, everyone. Please turn to Slide 8 of the presentation. I want to start by providing some additional comments on our performance for the first quarter. As David mentioned, revenue for the first quarter was down fairly significantly year-over-year, mainly due to the continued falloff in Mining activity. Revenue was also down from last quarter, mainly due to Mining, but we also saw a modest reduction in Oil & Gas. This reduction is a reflection of a change in the mix of the work there, with a larger FEED and engineering content as compared to construction. This mix change had a favorable impact on Oil & Gas margins in the quarter. We expect construction work on a number of large Oil & Gas projects to pick up later in the year once engineering work has progressed. Corporate G&A expense for the first quarter were $38 million, up from $33 million a year ago. The majority of this increase can be attributed to higher compensation expenses. The effective tax rate in the first quarter was approximately 29%, including a positive effect for deferred tax benefits in certain foreign jurisdictions. We expect our tax rate for the remainder of the year to be between 32% to 33%. Shifting to the balance sheet on Slide 9, Fluor's financial condition remains very strong, with cash plus current and noncurrent marketable securities totaling $2.6 billion. This compares with the balance of $2.5 billion a year ago. During the quarter, the company generated $187 million in cash flow from operating activities and repurchased approximately $200 million worth of Fluor shares. Consistent with our announcement late last year, we retired about $400 million worth of shares over the past 2 quarters. The cash balance did not otherwise decline seasonally as much in the first quarter of 2014 as in prior years, primarily due to the timing of cash flows between March and April. In the first quarter, we also paid $26 million in dividends. Moving to Slide 10, as previously mentioned, Fluor's consolidated backlog at quarter-end was $40.2 billion. The percentage of fixed-price contracts in our overall backlog remained at 20%. And the mix by geography was 32% U.S. and 68% non-U.S. I will conclude my remarks by providing an update on our 2014 guidance, which is on Slide 11. As evidenced by the strong booking in the quarter, we are well-positioned for earnings growth, which we expect to start in the second half of the year and then continue into 2015. Reduction of revenue from the Mining and Government businesses will remain an offset to growth in Oil & Gas through the second quarter. Outside of Oil & Gas, new awards for the first half are not expected to drive enough book and burn to support the high end of our initial guidance range for the year. For this reason, we have lowered the top end of our guidance by $0.15 to a range of $4.10 to $4.45 per share. We now expect overall revenue will be lower in 2014 than in 2013, but offset in part by higher margin. This adjustment to our guidance does not diminish our optimism for the mid or longer term. With that, operator, we're ready to take questions.
Operator: [Operator Instructions] Our first question comes from Michael Dudas with Sterne Agee.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: David, looking at the non-Oil & Gas businesses in your portfolio, how close are we for a turn in new business opportunities to allow 2015 performance to be a better contributor and certainly this kind of bottoming phase in 2014? And of those businesses, which ones are more likely to drive it versus others?
David T. Seaton: Well, as we talked, Michael, it's a great question. As we talked, there's a lot of headwind in Mining and in Government, specifically around the LOGCAP project. And it will certainly close as we get into '15 and probably beyond because I think there'll be people there that -- beyond in Afghanistan. But I think that what we're seeing right now is we're seeing a good solid stream of study in front-end work in Mining, which gives me confidence that we'll see that start to return as we get into '15. I think government's going to be more of a difficulty. They've got a lot of things on the books. I mean, I think winning the Strategic Petroleum Reserve is a great example of the diversity within that group of being able to not only work in the DOD world, but also in the DOE world and the FEMA world. So that diversity helps them, but I think it's going to be difficult to replace LOGCAP from its peak. Infrastructure, I think is -- as I said in the prepared remarks, we've got several projects that we're bidding right now, and we feel pretty good about. And then I think Power, I mean, one of the things that's in front of us, as we've said in previous calls and certainly in this call, there's a lot of combined cycle gas-fired power plants that we're bidding. I think we -- I think there's 7 of them that we're in bid right now. But I think that the recent ruling by the Supreme Court on CSAPR really helps us because we've got a lot of expertise on the coal side of the Power business, on the retrofit side. And I think that, that ruling by the Supreme Court really helps us a lot when we think about removing some of the headwinds that Power has experienced over the last 2 years.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: I appreciate that, David. And my follow-up question, as you -- or maybe for Biggs, as you look towards 2014 and capital allocation, any major changes to capital spending, working capital adjustments? And will share or repurchases be opportunistic or more measured throughout 2014, all things else considered?
Biggs C. Porter: In terms of -- well, no real change in perspectives or philosophies on CapEx; may well run fairly consistent with last year. As noted, the Global Services group, which contains the equipment business, is not off to a fast start this year, so correspondingly, CapEx is staying modest through this particular point in time. We hope that there's opportunity -- there are opportunities for that growth going forward. But I would expect overall CapEx may be in line with last year. From the standpoint of working capital, normally, you associate this particularly with revenues. So with revenue expected to be somewhat down now, we actually don't expect much change in working capital over the course of the year, so cash generation from earnings should be strong. And then, in terms of share repurchases, the -- as I said, no change. We've executed the $200 million in the first quarter, which brought us to the $400 million cumulatively over the last couple of quarters. And our philosophy going from here remains the same. It's a matter of consistently measuring what amount of cash we think is an excess of requirements, evaluating whether or not there's some higher-return opportunity for that and the absence, and as we build through time of some greater investment opportunity, then we would look to repurchase shares, which I think has been pretty consistent with our practices over the last few years.
Operator: Our next question is from Jamie Cook with Crédit Suisse. I'm so sorry, it's…
Jamie L. Cook - Crédit Suisse AG, Research Division: I guess 2 questions. First, on the top line, David, the Oil & Gas revenues were weaker than I would have thought. They came down sequentially. Is there anything going on there? At what point do you expect the Oil & Gas revenues to ramp more dramatically? And my second question is, I guess, just back on the guidance. I understand the headwinds that you faced, but you've booked a huge amount of bookings. The Oil & Gas margins in the quarter were 5.1%, which is sort of where you targeted it at the year-end. So I guess my question is, do we get to a point where these underperforming businesses are small enough and Oil & Gas is big enough that you can finally grow the EPS double digit and when do we get there? And is the 5.1% -- I guess, the other concern or bear case would be, the 5.1% margin is a peak margin in your Oil & Gas and so your total backlog as at peak, so how do you think about that?
David T. Seaton: The first thing, it is a mix issue. I mean, you're going basically from -- I think everybody kind of thinks about Oil & Gas as the only thing we have, but we have a pretty robust diversity that we deal with. And when you look at how big Mining was 2 years ago, and that's a significant drop-off. So from a revenue perspective, I'm not too concerned about the drop this year, as long as the profitably is there, which we have. So I think what you're doing is you're -- not only are you changing from a Mining -- predominantly Mining revenue burn and associated margin to Oil & Gas and its associated margin, we're also facing kind of the shift in the project cycle from the full EPC back to in E&C -- within the Oil & Gas segment, that beginning FEED and first pieces of engineering, where you're not burning the revenues associated with the procurement cycle or the construction cycle. So that is what we expected to happen. It's a little bit more of a drop than I think we had hoped for. But again, I think when you look at the profitability, I feel pretty good about where we are. I am...
Jamie L. Cook - Crédit Suisse AG, Research Division: So when is that inflection point?
David T. Seaton: Sorry?
Jamie L. Cook - Crédit Suisse AG, Research Division: When is that inflection point when your earnings finally start to grow double-digit and reflect the Oil & Gas backlog in the margin? And have margins in Oil & Gas peaked and in backlog peaked?
David T. Seaton: Well, I'm not going to give you the specific date. I mean, I think what we've said in the past is the first 2 quarters are light on EPS, and it grows towards the end of the year. As Biggs said, we didn't see an avenue right now to get to the top end of the range, and that's why we dropped it. I think that E&C being back above 5% is a good thing. We think that it'll -- it may drop a little bit, it may rise a little bit, but I think we're back into kind of the sweet spot of E&C. And as I've answered the question to Michael, if you get towards the end of this year and into next year, if we have some success in Power and in Mining on the back of some of these front ends we're doing, we should start to see revenue growth, as well as profitability growth.
Biggs C. Porter: I also should note that we expect the other businesses besides Oil & Gas generally to have improving bottom line results as we go through the year this year. And worth coming back and referring to the Power projects; there's a number of bids, more than we have had in the last couple of years, outstanding on Power projects. We obviously knew those projects were going to be out there for bid. But what's happened is, that the decision processes on those by the customer has moved out to the right. So it's just less likely to have as much benefit from those this year. There would be benefit from them, and it would create opportunity for growth, but not as much this year and more for next year. So I don't think it's fair to look at all the other businesses besides Oil & Gas and portray those as shrinking businesses. The first quarter is certainly a low point for the most of them.
Jamie L. Cook - Crédit Suisse AG, Research Division: Okay. I appreciate that. And then, just on the Oil & Gas revenues in the quarter, was that below your expectations or was my modeling correct? I'm just trying to figure out when that ramps, and I'll get back in queue.
David T. Seaton: It was a little bit below, but I'd say it was in line with what we thought, Jamie.
Jamie L. Cook - Crédit Suisse AG, Research Division: Okay. And that should start to ramp?
David T. Seaton: Yes.
Operator: Our next question is from Alex Rygiel with FBR Capital Markets.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: David, could you expand a little bit upon some of the bidding opportunities in Oil & Gas? And if you don't want to be specific on project, maybe talk geographic, where they stand and/or kind of what type of facility they could be, such as pipelines in Mexico, that sort of thing?
David T. Seaton: Yes, I think the U.S. still has some growth in front of us. I mean, there's several projects in the Gulf Coast that we're continuing to pursue, both through FID and also new bids. Obviously, there's 2 more -- or excuse me, 2 more LNG plants in the Gulf Coast that we're pursuing very diligently. Canada still holds out a lot of opportunity in terms of pipelines and SAGD-type projects in the oil sands. If you go to Europe, oddly enough, there's some refinery work that we're pursuing that we feel really, really good about. In Africa, Mozambique and South Africa to continue to be -- I wouldn't -- I mean, Mozambique's kind of an anomaly, and there's just some huge projects there. But I think the Middle East still has a lot to hold, both in terms of offshore upstream and more refining work that's coming, in addition to some of the petrochemical stuff that we're pursuing. In Southeast Asia, a lot of work in petrochemicals that we're pursuing, Malaysia specifically in 2 different cases. And then I think in China, when you think about some of the partnerships that we've announced previously, and one that comes to mind is BASF in China and Malaysia as well as United States. So I think it's a pretty robust bid slate for us or prospect slate for us, and I'm really pleased to say that it's very geographically dispersed.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: And were there any onetime items in the quarter that were somewhat material that weren't necessarily called out in the press release, i.e., onetime gains, anything like that?
David T. Seaton: No.
Operator: Our next question is from Andrew Kaplowitz with Barclays.
Andrew Kaplowitz - Barclays Capital, Research Division: David or Biggs, when you lowered the high end of your guidance, was it more because your I&I revenue continues to be lower than expectation or was it because Government was a little weaker or is a little weaker and Global Services continues to be a bit of a drag? I'm just trying to figure out, is it all of the above? Is it one more than the other? And maybe you could talk about Global Services in particular because that segment continues to sort of maybe slow down a little bit.
Biggs C. Porter: Let me kind of hit the last point first, and I'll come back. So on Global Services, they have -- the biggest income driver there is the equipment business, which is correlated to a fair degree to work in Afghanistan and to work on Mining. And so some of the movement there is consistent with what you see in the other business segments. They also, though, support construction and will support our own construction activities. So as that ramps up, it creates more opportunity for them, so somewhat consistent with the notion that we have a lot of engineering content in the quarter. We correspondingly had less constructions or less opportunity for the equipment business. So they do have an opportunity. They'll have some pressures from Mining and Afghanistan as we go through the year, but then they have opportunity associated with the other activities. Broadly speaking, in terms of the high end of the range, it really is a matter of we expect improvement as we always did through the course of the year, but as I said, we aren't getting enough activity on the new awards side. Things have slid to the right, new project proposals on the Government side, the Power proposals on the -- for the gas plants, a number of them, but they've shifted to the right in terms of their timing of award. And so that just means that our ability to have that much greater acceleration to our growth as we go through the year has become limited because we just can't get those awards in. Assuming we win our fair share as targeted, we just can't get them in fast enough to create enough book and burn to have that additional acceleration through the second half of the year.
Andrew Kaplowitz - Barclays Capital, Research Division: And should we see I&I revenues stabilize here or does it still have a little more downside to it?
Biggs C. Porter: I think overall, it could actually be growing from here. It's going to bounce around because you've got offsets between infrastructure projects, and as they mature, like the Tappan Zee Bridge and what's happening on the Mining business, which is approaching a point of some stabilization. Depends on future awards on Mining, is it stable at this point or not, but I think that it does have opportunity to grow.
Andrew Kaplowitz - Barclays Capital, Research Division: David, you know someone's going to ask you about NuScale, so it might as well be me. So you know what your competitor has been doing or the other guy who's got the technology and sort of downsizing there or slowing down their spending. You've talked about slowing down your spending in NuScale in the second half of the year, at least having the DOE pick up the slack. So can you give us an update on that? I mean, you did, I think, $13 million in spend in the quarter. Can we see that drop in the second half of the year and what's in the guidance?
David T. Seaton: I think we're still negotiating that FOA, and I think our expectation is to spend prudently based on what progress we need to make to move towards the certification. Whether it's $13 million or a little bit more or a little bit less, I think the issue is we're actively looking for additional investors. This has always been our plan. The finalization of the deal with the DOE helps us get there. There's been lots of discussion with different potential investors that show interest. But I think they're all, again, still waiting on, on signing the deal. I'm not going to cover anything about the other technologies. I still have great confidence in the technology and its application. I think the size of the reactors and its application is more widespread than maybe some of the other technologies. And I think it's got safety features that are much better than the other technologies. So I think we're steady as she goes relative to our investment. And I feel really good about the position where we sit and the conversations that are going on with strategic partners that would also begin to take part of that spend curve.
Biggs C. Porter: This is Biggs. Just to elaborate a little bit. Consistent with what we said before, what happens under the FOA arrangement is actually that our gross spend goes up. There will be an increase in the gross spend, but that increase will be offset by the funding from the government such that at the end of the day, roughly speaking, this year's net P&L expense would be roughly equal to last year's. So higher spend offset by government funding producing about the same bottom line effect, all other things, EG ownership staying equal. If we succeed in selling some of the interest, then there's opportunity for it to go down, that P&L expense.
Operator: We'll hear next from Jerry Revich with Goldman Sachs.
Jerry Revich - Goldman Sachs Group Inc., Research Division: David, can you talk about the timing of the final investment decisions on the next round of U.S. ethylene and LNG projects? I guess if you could touch on Sasol and Lake Charles specifically? And then, in the past, you mentioned that you folks were full when it comes to ethylene and you weren't planning on bidding on any more projects. I'm wondering has that thought process changed at all? And -- or just your updated thoughts there would be helpful.
David T. Seaton: Well, I never said we weren't going to bid on more ethylene plants if they come. I think we're moving towards FID decision on Sasol in the second half of the year, probably towards the end of the third quarter. Probably won't know until the beginning of the fourth. On LNG, as we stated, there's a portion of Kitimat in the new awards, FID is later in the year, so there's probably another part of an award towards next year. The 2 LNG plants that I mentioned in the Gulf Coast, it's early stages, so my guess is we're probably talking about an award sometime mid-next year. With regard to Mozambique, they're still looking to down-select, if not award, to one contractor sometime towards the end of this year. But I think that's a 2015 award. But there's -- I think the beauty of what we've seen is the awards for this quarter were significant in sheer numbers of awards in a couple of hundred -- 240 or 250 awards in the quarter, which is pretty robust. And a lot of that is front end. So when I think about the conversation on the non-Oil & Gas business, there's a fair amount of capital spending decisions that'll take place towards the beginning of next year, which I think just helps us grow the business in '15, '16 and beyond. So I think, as I've said in the past, we're kind of in the early stages of a pretty sustainable robust growth period. And I think Biggs said it right, I mean, I think Mining's, if not close -- if not stable, is close, and hence, I&I should grow from there. So it's a pretty good story across the board, with still a couple of headwinds in government, the headwind of timing around when the growth in Mining takes place. And then obviously, we're in the early innings of a pretty long baseball game in Oil & Gas.
Jerry Revich - Goldman Sachs Group Inc., Research Division: And then, David, in U.S. infrastructure, can you just talk about the inquiry or the bid pipeline, how that developed over the past quarter? The bid opportunities that you highlighted for I&I, was that in the U.S. or elsewhere?
David T. Seaton: It was mostly in the U.S., a couple things in Europe, but primarily in the U.S. And I think one of the things that the U.S. Government's doing, or at least moving down the road in a very positive way, is some of the legislation around U.S. infrastructure, which only helps that.
Operator: Mr. Wittmann, your line is open.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Biggs, it looked like in the Q that there was some closeouts that were unquantified in I&I. Do you have that number handy, by any chance?
Biggs C. Porter: I don't think -- it's a number that, individually, is material and makes sense to call out. There were 2 things in I&I. There were some closeouts and some incentives on the mining side. And then we also had favorable performance on an infrastructure project, which had an increase in its booking rate. And that's what drove the margin rate up to 6% in the quarter, as opposed to what's more normally between 4% and 5%. So that gives you an idea of the magnitude of the favorable effects there.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Yes. Recently, it's been running closer to the 4% than the 5%. Do you expect that to be the case for the balance of the year?
Biggs C. Porter: I think it's early to call it. I don't want to get too specific. I think you have to just take the 4% to 5% range. It always is going to vary some quarter-to-quarter, based upon milestones on projects and mix. But the -- as you look at it on a broad basis on a longer term, with mining revenues down year-over-year, that's lower-margin business. Infrastructure is higher-margin business. So that creates a bit of a shift, all other things equal. The only caution we'd make to that for people trying to compare it to last year was there were a number of projects on infrastructure last year which did even better than the normal margin rate, because we hit so many of the milestones successfully. And we don't see quite as much opportunity for that this year. It's hard to get more specific than that -- or it's not hard, but I don't think it makes sense to. But that should give you a reasonable range to deal with.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: That's helpful. And maybe, David, on the Government business, margins were kind of light. Is that due to the shrinking business and maybe having some under-absorption of any labor costs there? And can you rectify that by getting ahead with the right staffing levels? Or should we think of that business kind of being structurally here with this level of work in that segment?
Biggs C. Porter: This is Biggs. I'll answer the question a little bit, and David can add on. But a couple things in the Government business, and it's also evidence in -- evident in some of their business the last few quarters, where there's been a lot of proposal activity. There is a little higher overhead associated with proposal activity. We don't have all the new awards in it, as I said earlier, that we would have targeted by this point in time. But certainly, the Magnox award is pretty big. And so that's had an effect on G&A and Government and in Power, for that matter, the level of bidding activity that's been taking place the last couple of quarters. There also was underperformance on one project in there, which created a little bit of a negative noise for them. It wasn't material in the broader scheme of things, but if you're looking at it just from the standpoint of Government, it held them back a little bit. And that's one reason why I'd say they've got opportunity to grow from here.
David T. Seaton: Yes, I'd just add a little bit of color on that. I think I'm really proud of what they've been able to do when you think of winning Magnox and the petroleum reserve. So they're in the process of trying to figure out how they stem the tide of decline from what was a huge program in LOGCAP, with new work in other parts of the Government infrastructure. But I think the win in the U.K. was huge for us because it takes us out of just relying on the U.S. from a market perspective.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: That makes sense. Is there any risk that the Magnox -- you're the preferred bidder, I know it's been protested. Can you, one, talk about the -- I mean, is that yours? How should investors think about that? Can you just talk about the economics of that joint venture? I think you're a minority partner. Is that proportionally consolidated? And what do you think the scope could be for that Magnox project? Any color would be helpful.
David T. Seaton: It is, proportionally.
Biggs C. Porter: Well, we haven't -- yes. We haven't put anything in the backlog the first quarter because this is a second quarter award. If we do, it will be on a proportion and consolidated. When I say, if we do it, we're still examining whether it should be properly accounted for on an equity method or a proportion-consolidated method. But it would be 1 of those 2, and it would follow-on in the second quarter.
David T. Seaton: And the protest rules are different in the U.S. than they are -- in the U.K. than they are in the U.S. And then we wouldn't have announced it had we not signed the document with the government.
Operator: Our next question comes from Tahira Afzal with KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: First question is really in regards to Oil & Gas. I think Jamie asked some of these questions. But I thought if you're looking at 2015, how much -- when you're looking at growth in 2015, how much as of right now do you think is really dependent on a lot of what you've booked really moving forward versus really incrementally booking more stuff that contributes to 2015, let's say, even by the end of the year when we're looking at some of the larger bookings you've had?
David T. Seaton: We never book enough, Tahira. No, I think, obviously, with what -- with the success we've had, we have better vision into the last half of this year and into '15 than we normally would have at this juncture. Obviously, we've got to have things like Sasol go past FID. We've got to continue to win the work that's in front of us and the bids that are in front of us to continue that growth curve. But I think, by and large, we feel pretty good about where we are in Oil & Gas in the cycle and the prospects for continuing to grow that business as we go through this year and into '15. And the obvious question is, going back to some of the previous comments, where are we in Mining? What do we do in Power? And how well does government kind of stem the tide of decline associated with LOGCAP? But I think, relative to E&C, we feel very good. I think the team has done a very good job of securing those awards that move our needle. And as I said in another response, there's still a pretty robust prospect slate in front of us through the next, probably, 6 quarters that will help us continue to pile on, on that growth curve.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Got it. Okay. And as a second question, if you look at the Power segment, clearly, it's been having a bit of a challenging time. If you do start to see some of these retrofit projects and also the Power projects on the gas side holds true, could potentially the volumes be sufficient to really have something profitable? Is your utilization is so low there that you don't really need pricing, you just need volume at this point for next year?
David T. Seaton: Well, we don't need volume, we need profitable projects. And that's really what we're focused on. But I think, on the retrofit side, we did a lot of work, a lot of study work, going back 2 years ago, in helping many of our customers look at what their options are, assuming that the CSAPR rules went into play. So we know kind of what's in front of us and we're really happy with the ruling, let's put it that way. I think the challenge is going to be -- I think the power companies were kind of thinking we probably will get a different response from the Supreme Court. So I think we got to do a little rationalization right now with our customers, help them figure out exactly what that mix is going to be. But I think you're going to see a significant amount of work come out of that. The coal fleet needs help, everybody knows that. And the power companies are ready to spend money prudently to deal with that generating capacity. So I think as we -- again, as I've said, I think as we get into next year, I see an opportunity for growth in the Power segment.
Operator: Our next question comes from John Rogers with D.A. Davidson.
John B. Rogers - D.A. Davidson & Co., Research Division: David, when you mention prospects for bookings over the next 6 quarters, I assume that's just your -- how far out your visibility is. But...
David T. Seaton: That's correct.
John B. Rogers - D.A. Davidson & Co., Research Division: The last 2 years, we've seen backlog peak early in the year and then kind of run off through the year. And I know it's hard to say when projects are going to come in, but are we looking at the same pattern this year, and any way to tell?
David T. Seaton: I'd say -- I want to invoke the lumpy word again. I mean, obviously, we had a great quarter. And that does take us back above the $40 billion, and that's been one of the statements and questions that you guys have asked us is when -- can you get it back over $40 billion. Well, the answer is yes. But I think, given what we see, it could decline some during this year. But I would expect our ending backlog for the year to end with a -- or start with a 4.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. And I'd love to hear by sector, but in general, is the embedded margins in the backlog or the embedded profits, as you look at it now, is it growing in line with the overall backlog growth?
David T. Seaton: The margin in backlog is improving and growing, I think, in line with the backlog. But again, as Biggs has said, and he can comment on this, it's -- there's a lot of moving parts in that backlog, but I think, generally, we're headed in an orderly direction over the longer term.
Biggs C. Porter: Yes. So certainly, margin dollars are growing with backlog. But I think it's important to keep perspective here to what we said over several quarters, was even though backlog was declining, margin rate was going up due to mix. And in fact, in many quarters, even though revenue in backlog was declining, the margin dollars, in total, were going up. Now, with backlog going up, you've got a combination of both. You've got both higher margin rate and margin dollars going up.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. So, as you move from the design and upfront phase into actual construction services, I mean there's not going to be a dramatic shift, especially in the oil and gas sector in terms of margin?
Biggs C. Porter: There will be moves -- movement in our actual booking rates -- in our profit margin rates in the P&L, as there always are with various mix change stages with stages on projects and customer furnished or higher engineering content-type of work, or construction work. All those things create some amount of variability. The first quarter, obviously, it drove the P&L margin rate on Oil & Gas up to above 5%. But when you talk about backlog, we don't publish the numbers, so you don't see it, but generally speaking, we don't expect big shifts to be occurring any kind of a short-term basis. So there's not that much I can say. Obviously, there's so many moving parts, it's hard to generalize and hard to give guidance, which is really going to be meaningful because you'll always have certain amount of volatility.
Operator: Now we'll hear next from Tate Sullivan with CLSA.
Tate Sullivan - CLSA Limited, Research Division: Great order quarter with the $10.7 billion. But I mean it sounds very confident for the order outlook in general, but can you just give some context to do you think you could exceed this quarterly number in orders?
David T. Seaton: Well, it is a record. I think the answer is yes. I don't see it this year, but -- again, this year. But we've done a couple of $9 billion quarters in the past. But the projects are getting larger and I think the markets are such that our offering is something our customers are looking for. So I think it'll be difficult in the near term, but yes, I think we could hit another $10 billion quarter.
Tate Sullivan - CLSA Limited, Research Division: And last one for me, and you've talked a lot about it, but this -- can you quantify the scale of the opportunity, the order opportunity with the 7 bids for gas-fired plants, to put some context around it?
David T. Seaton: I would say they're, in totality, somewhere in the neighborhood of $2 billion, $1.7 billion to $2 billion in revenue -- new order revenue.
Operator: Next we'll hear from Vishal Shah with Deutsche Bank.
Vishal Shah - Deutsche Bank AG, Research Division: Can you just provide some more color on Mining? You said that you could potentially see some improvement in that business. How many projects are you tracking? And also, would you be seeing any changes in the margin structure of any future mining work?
David T. Seaton: Probably no difference in how we approach that business. But we have Cerro Verde and Pueblo Viejo going on right now in the fields. So it's not like it completely dried up. But there's a fair amount of FEED work going on that supports the South American market. But I also think that there's a fair -- I know there's a fair amount of work that's being discussed around Australia again. I think that if you look at the Mining sector, in general, the new management's had enough time to rationalize what their spending's going to be. I think they've done a good job of returning capital to the shareholders. But really, I think what we're looking for is a change in the commodity pricing. We're not too far off of the commodity price, in some things like gold and copper, to where the investment decisions are made. But right now, I think we're helping them rationalize some of those assets and look at where they want to monetize their natural resource. We've got great relationships in that market. And when the spending starts to return on an EPC basis, I think we'll be there in a pretty strong position.
Vishal Shah - Deutsche Bank AG, Research Division: That's helpful. And then just on the service business, you mentioned one of the drivers for lower service margins was the reduction in equipment business. I mean, is this the new run rate for the service business, given the pull back in Mining in the near term?
David T. Seaton: Well, I think it probably -- it's probably close. I think we do have some growth opportunities. But when you look at the equipment business, the 2 biggest pieces, as Biggs said, was mining in Afghanistan. Not only the Fluor piece of Afghanistan, but also the DynCorp piece of Afghanistan. So they've got -- they're just like the Government Group where they've had a pretty huge revenue base that's eroded significantly and rebuilding that is going to be on the back of growth. But it's also going to rebuild itself on the back of some of the direct-hire construction that we're doing in Oil & Gas. So I think that there is growth opportunities there, but I think it's a timing element more than anything else.
Operator: Our next question is from Steven Fisher with UBS.
Steven Fisher - UBS Investment Bank, Research Division: I just want to gauge your confidence in the new guidance range for this year. I guess, specifically, how concerned are you that these Oil & Gas projects could get stuck in the FEED phase?
David T. Seaton: So you're looking for guidance within the guidance?
Steven Fisher - UBS Investment Bank, Research Division: Well, no. I mean I know you said the most important thing is to get these projects going. But I feel like we hear a lot about your customers just kind of go back and forth and keep rehashing over the FEEDs. And just kind of wondering, from your perspective, what that risk is, or you can give guidance within the guidance.
David T. Seaton: I think you've got to go back to when we established the range, which was at the end of the third quarter. And obviously, some things have slowed down and some decisions have been delayed. I think Kitimat's a great example of that, where we thought it would be awarded in the third quarter and then it was awarded in the first quarter, or at least the portion that we took in. So I think that explains a lot of why we've reduced the top end. But I would suggest we're pretty confident in the range that we stand at today.
Steven Fisher - UBS Investment Bank, Research Division: Okay. And then I guess since you mentioned Kitimat, I'll use that as my follow-up. So for the amount that you put in backlog for that project, are you fully authorized to proceed on that work?
David T. Seaton: We are -- we don't talk -- go back to the Chevron rules, we don't talk about numbers in terms of total or in terms of what pieces we've done. We're confident in the work scope that is associated with what we took in the backlog.
Operator: We'll hear next from Brian Konigsberg with Vertical Research.
Brian Konigsberg - Vertical Research Partners, LLC: So, Dave, actually, I thought your comments about the power retrofit market actually were really interesting. Just -- are you getting the sense that a lot of utilities were holding back on spending, not just only on cash, but also the naturals until they were getting clarity and there had been kind of a building opportunity that might just be beyond just what's required for cash for itself? And I don't know if you have -- you could potentially even quantify how big you think the market is and maybe how many years you could see orders kind of emerge through that from the utilities.
David T. Seaton: I think you bring up a good point and I think your comment is correct. I think there's a pent-up demand due to waiting on regulation. You think about it, the U.S. generating capacity, I think 60s -- over 60% is based on coal. One of the things I like to talk about is everybody on this call walks in, flips the light switch on, lights come on, they plug in their phone, they don't even think about what's their power bill is. So it's about affordable energy. And right now, clean coal is available, clean coal technologies. Even at the cost of cleaning up some of the back end, it's still cheaper than some of the other sources. So I think there's an element of the market saying, "Let's wait, for sure, and let's see what we can put into our business models and what those business models produce as far as what affordable energy would be." I think it's a long answer or a long period of time for this. And I go back to something that was -- I was on a panel with Jim Rodgers back, I don't know, this is probably 4 years ago, when they were talking about the rules. At that time, he said that Duke was ready to spend $20 billion on cleaning up their coal fleet if they had surety of regulation. So I think that -- I'd stick with what he said as part of the answer for how big it could be and how long-term I think that market will be. I think it's a pretty interesting market. We're very well-positioned to capture a large share of that. And I think that helps that -- it helps that confidence in the growth story over the longer term that I've been talking about.
Brian Konigsberg - Vertical Research Partners, LLC: Got it. And just secondly, just on LOGCAP, I mean, is that contract to you winding down faster than you anticipated? And I think you were looking for about $1 billion run rate as you exited the year. Do you think that is the likely maintenance level for the next couple of years? Or is there a big step down coming maybe in '15 and '16?
David T. Seaton: Well we're in line with what we thought. I think it will be a step down as you get into '15, '16. But again, it depends on the elections that are taking place right now in Afghanistan and what agreements are made with the U.S. Government. So we know it'll be less than right now, but we don't know how much less.
Brian Konigsberg - Vertical Research Partners, LLC: Okay. If I could just ask one more, just on Oil & Gas. So, Biggs, you were just mentioning there's quite -- actually it may have been David, quite a bit of FEED work actually has been booked just recently. And you're expecting construction to start winding up again in the second half of the year. But just given, I guess, the increased portion of the revenue being recognized in that FEED stage, I mean, should we be thinking that margins are hovering around that $5 -- excuse me, that 5% level for the remainder of the year?
Biggs C. Porter: Well, obviously, it depends upon mix and a variety of things. And we don't want to get too specific, but I guess I wouldn't be surprised to see them drop down a little bit and then come back up. We originally had forecasted being at 5% by the end of the year in our prior commentary. We got there early on mix, but if the mix moves back a little bit the other direction here next couple quarters, it could come back down and come back up later. But either way, it's well-positioned for additional growth over the longer term as volumes go up and as the mix continues to shift and this -- the leverage of overheads continues to improve.
Operator: That concludes today's question-and-answer session. At this time, I'll turn the conference back to you for any additional or closing remarks.
David T. Seaton: Thank you, operator, and thanks to all of you for participating on the call today. We appreciate your interest in our company. As we discussed I think over the course of today's call, we continue to be very positive in our view of our Oil & Gas business, both in terms of the strength of their recent performance, but also because of the strong ongoing prospects that we're pursuing. While we continue to experience some headwinds in Mining and Government, as we've discussed today, we view those as temporary conditions that will remedy themselves over time. With that, our enthusiasm for growth into '15 and beyond is not diminished. With that, we greatly appreciate your interest in our company and your confidence, and we wish you a good day.
Operator: This concludes today's conference. Thank you for your participation.